Operator: Good day, and welcome to the Carpenter Technology's Corporation Second Quarter 2025 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please note that this event is being recorded. I would now like to turn the conference over to John Huyette, Vice President, Investor Relations. Please go ahead.
John Huyette: Thank you, operator. Good morning everyone and welcome to the Carpenter Technology earnings conference call for the fiscal 2025 second quarter ended December 31, 2024. This call is also being broadcast over the Internet along with presentation slides. For those of you listening by phone, you may experience a time delay in slide movement. Speakers on the call today are Johnny Thene, President, and Chief Executive Officer; and Tim Lain, Senior Vice President and Chief Financial Officer. Statements made by management during this earnings presentation that are forward-looking statements are based on current expectations. Risk factors that could cause actual results to differ materially from these forward-looking statements can be found in Carpenter Technology's most recent SEC filings, including the company's report on Form 10-K for the year-ended June 30, 2024, Form 10-Q for the fiscal quarter ended September 30, 2024, and the exhibits attached to those filings. Please also note that in the following discussion, unless otherwise noted, when management discus the sales or revenue, that reference excludes surcharge. When referring to operating margins, that is based on adjusted operating income, excluding special items and sales, excluding surcharge. I will now turn the call over to Tony.
Tony Thene: Thank you, John and good morning to everyone. I will begin on Slide 4 with a review of our safety performance. Through the second quarter of fiscal year 2025, our total case incident rate was 1.1. We continue to see improvements, as our newer employees gain experience and develop in our safety-first culture. But we still have more to do to achieve our goal of a zero-injury workplace. We continue to invest in training for all employees with a focus on proactively identifying risks and hazards. Let's turn to Slide 5 for an overview of our second quarter performance. Building on our strong start to fiscal year 2025, we continued our earnings momentum with a record second quarter and our second most profitable quarter on record. Specifically, in the second quarter of fiscal year 2025, we generated $119 million in operating income a 70% increase over our second quarter of fiscal year 2024. Notably, the SAO segment continues to expand adjusted operating margins, reaching 28.3% in the quarter compared to20% a year ago and 26.3% in the prior quarter. The impressive margin expansion is a result of continued improvements in productivity, product mix optimization and pricing actions. Further, we generated $38.6 million in adjusted free cash flow during the quarter, and we continued to return cash to shareholders through our repurchase program, a part of our balanced approach to capital allocation. Our strong second quarter performance was driven by our continued ability to execute and our strong market position. Further our strong performance gives us confidence to again increase our guidance for the full fiscal year 2025. For those of you that have been following us, you know that we have demonstrated remarkable growth over the last two years. This has resulted in regular increases to our financial outlook each of the last several quarters. In the last earnings call, after pulling in our fiscal 2027 target two full years into fiscal year 2025, we raised our fiscal year 2025 guidance to approximately $500 million in operating income. On that call we said we had line of sight to activities that could push operating income even higher. Well, we've continued to execute improving productivity and working with customers to optimize our production plan. As a result, we are raising our guidance for the full fiscal year 2025, again to the range of $500 million to $520 million. And we have confidence that fiscal year 2025 isn't the peak of our earnings, as we have line of sight to continued robust earnings growth in the years ahead. The same market forces that are driving our current performance are expected to only get stronger in the future. Customers remain focused on surety of supply of our highly specialized material solutions to meet their long-term growth needs. And we remain focused on continuing to improve our operational performance to meet that demand. While today's discussion is focused on our second quarter performance and the fiscal year 2025 outlook, we are excited to share our outlook beyond fiscal year 2025, at an upcoming investor event. At that time, we will also provide a business update, including our view of the end-use markets and our operations. That event is scheduled for Tuesday, February 18, and will be held virtually. Now let's turn to Slide 6 and take a closer look at our second quarter sales and market dynamics. In the second quarter of fiscal year 2025, sales increased 13% year-over-year and decreased 5% sequentially. The modest sequential sales decline was driven by conscious actions we took at the end of the quarter. First, some customers closed operations earlier than usual for their end of the year, and we agreed to hold that material for them. Secondly, as you know, we operate 24x7 every day of the year. This year, we decided to stop operations on Christmas Eve, Christmas Day and New Year's Eve to give our employees the opportunity to enjoy more time with their families. I will also note that the sequential change in our energy market, where we are coming off a strong quarter, was related to the timing of certain shipments to power generation customers. Also keep in mind that power generation only accounts for approximately 2% to 3% of our total net sales. Most importantly, looking forward to the third quarter, we expect a healthy increase in total net sales. This will be primarily driven by higher volumes with more operating days in the quarter as well as continued productivity gains, product mix optimization and higher realized pricing. Let me take a couple of minutes to zoom out a bit and talk generally about what we are seeing in terms of demand signals and what we are hearing from our customers. As it is approximately 60% of our net sales, I’ll start with the Aerospace and Defense end-use market. For the commercial aerospace market, it’s important to keep in mind that we are a key supplier with broad exposure to Aerospace platforms. This includes Boeing and Airbus, narrow-body and wide-body, MRO, and OE activity. This broad exposure gives us visibility across the supply chain and positions us to support the supply chain wherever the activity is focused. Across the board, our Aerospace customers continue to expect significant ramps in output from the OEMs. However, some customers with direct exposure to specific platforms, particularly the 737, are still in a wait-and-see mode in terms of their specific plans for the next few quarters as they assess how quickly Boeing can ramp production and provide confidence to the supply chain that they are on the path to a credible and stable increase in build rates. With this in mind, we continue to work with those customers where we can, to manage our priorities for orders as we plan our production schedules. Even though those customers are more cautious today, they are actively talking to us about securing additional material from us as the demand conditions accelerate. Conversely, for platforms where the customer has greater clarity and confidence, they continue to push ahead. And correspondingly, we continue to see strong demand in those areas. In addition, many of our customers have shifted focus to satisfy extremely high MRO demand where our material solutions are critical. We also have a strong portfolio of program-specific defense applications where demand remains strong, as we are currently receiving urgent requests for more material faster. In our other end-use markets, such as Medical, which accounts for roughly 13% of net sales, we continue to see strong demand as our material solutions play an important role in solving their complex needs. Looking at our total order backlog, we continue to see improvements in the mix and pricing, which supports our expectations for ongoing sales increases. From our connected vantage point, we see clear signs that demand will continue to strengthen into the future. Now I will turn it over to Tim for the financial summary.
Tim Lain: Thanks, Tony. Good morning everyone. I'll start on Slide 8, the income statement summary. Starting at the top, sales excluding surcharge increased 13% year-over-year on 6% lower volume. Sequentially sales were down 5% on 10% lower volume. The year-over-year growth in net sales was driven by increasing productivity necessary to drive a stronger product mix, as we focus our capacity on our most profitable products and the realization of higher prices. The improving productivity, product mix and pricing are evident in our gross profit, which increased to $177.5 million in the current quarter, up 45% from the same quarter last year. SG&A expenses were $58.6 million in the second quarter, which includes $23.6 million of corporate costs. As we said last quarter, we expect corporate cost to be approximately $23 million to $24 million per quarter for the balance of fiscal year 2025. Operating income was $118.9 million in the current quarter, which is 70% higher than the $69.8 million in our second quarter of fiscal year 2024. As Tony mentioned earlier, this represents our second best quarterly operating income result on record. Moving on to our effective tax rate, which was 20% in the current quarter. This quarter's effective tax rate was lower than our normalized tax rate due to certain discrete tax benefits recorded in the current quarter. For the upcoming quarters of fiscal year 2025, with no further discrete benefits anticipated, we expect the effective tax rate to be more in-line with our normalized rate of 23% each quarter. In summary, the earnings per diluted share results for the quarter of $1.66 demonstrates solid execution against the goal we laid out for this quarter. Now turning to Slide 9 and our SAO segment results. Net sales excluding surcharge for the second quarter were $479.6 million. On a year-over-year basis, sales were up 15% on 11% lower volume. The increase in sales on lower volume reflects the impacts of higher realized prices and an improving product mix relative to a year ago. Sequentially, sales were down 6% on 11% lower volume. As Tony mentioned, the shipments were influenced by the actions we took at the end of the quarter associated with customer year-end shutdowns and reducing our operations on holidays. Moving to operating results. SAO reported operating income of $135.6 million in the second quarter of fiscal year 2025. As Tony mentioned the adjusted operating margin of 28.3% in the second quarter is a significant achievement. The continued margin expansion as a result of our SAO's team's focus on executing actions to further increase and maintain consistent production levels to closely manage operating costs and to optimize the product mix to maximize capacity for our most profitable products. These areas are as relevant as ever, as we actively manage our production schedules to adjust to changing customer priorities and seek to increase our overall output. Looking ahead to our upcoming third quarter of fiscal year 2025, we anticipate SAO will generate operating income in the range of $140 million to $145 million, which represents another step up in profitability. Now turning to Slide 10 and our PEP segment results. Net sales excluding surcharge in the second quarter of fiscal year 2025 were $86.2 million, down 2% from the same quarter a year ago and down 7% sequentially. In the current quarter, PEP reported operating income of $7 million compared with $7.1 million in the same quarter a year ago and $7.3 million in the first quarter of fiscal year 2025. As we have said previously, Dynamet is the driver of the PEP segment, representing a significant portion of PEP sales and an even greater percentage of PEP's profitability. Dynamet's fundamentals are very comparable to SAO, including a strong market demand backdrop in the Medical and Aerospace end use markets, which together, accounts for approximately 95% of Dynamet sales. Like SAO, the focus at Dynamet remains on improving productivity and expanding capacity to increase our output, which has driven improved results. With that said, Dynamet is not the only business in PEP. Our additive business, although not material to overall Carpenter Technology has seen a deferral of orders over the last two quarters from certain key strategic customers. Given the size and cost structure of the additive business, such deferrals can be impactful on the business and the segment even if it does not have a material impact on the overall company. The additive demand outlook and customer order visibility is improving. We anticipate that the additive results will improve beginning in our upcoming third quarter. With that in mind, we currently anticipate that in the upcoming third quarter of fiscal year 2025, the PEP segment will deliver operating income in the range of $10 million to $12 million. Now turning to Slide 11 and a review of cash flow. In the current quarter, we generated $67.9 million of cash from operating activities. The results were driven by improving profitability and disciplined working capital management. Although we increased inventory in our recent second quarter, we view that growth as temporary and tied to our strong order backlog. The second quarter increase is also well below the amount of inventory we built at this time last year, which reflect the impacts of our efforts to improve productivity. The cash generation in the current quarter is an important step towards delivering our full fiscal year 2025 adjusted free cash flow target of $250 million to $300 million. For the current quarter, we spent just over $29 million on capital expenditures. With those details in mind, we reported adjusted free cash flow of $38.6 million in the second quarter of fiscal year 2025. We also continued executing against the share repurchase program. In the second quarter of fiscal year 2025, we purchased $8.2 million of shares against the $400 million authorization. The share repurchase program reflects our balanced approach to capital allocation and complements the long standing quarterly dividend. Finally, our liquidity remains healthy. We ended the second quarter of fiscal year 2025 with total liquidity of $511 million, which includes $162.1 million of cash and $348.9 million of available borrowings under our credit facility. With that, I will turn the call back to Tony.
Tony Thene: Thanks, Tim. What an exciting time to be part of Carpenter Technology as we are delivering record profits while projecting a future of even higher earnings growth potential. Carpenter Technology just delivered a record second quarter and our second most profitable quarter in the history of the company. We increased adjusted operating margins in our SAO segment again, reaching 28.3%, a new all-time high. We continue to execute against our share repurchase program that complements our long-standing quarterly dividend, demonstrating our commitment to return cash to our shareholders. And we've increased our operating income guidance again to the range of $500 million to $520 million for fiscal year 2025. We are delivering strong record results, even as the Aerospace supply chain is transitioning and only at the beginning of its aggressive build rate ramp. This is a very important point because it means demand for our material will only get stronger and our earnings growth potential will continue to expand. We continue to believe we are in the early stages of our growth journey, and we look forward to updating our long-term outlook at our virtual investor event on February 18. Thank you for your attention. And I will now turn the call back to the operator.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And your first question today will come from Gautam Khanna with TD Cowen. Please go ahead.
Gautam Khanna : Hi, good morning guys.
Tony Thene: Good morning Gautam.
Gautam Khanna : Tony, unfortunately, I missed the first couple of minutes of the call. But I was wondering if you could comment on lead times in the engine channel if they've changed? And just I know you talked a little bit about some of the customer perturbations in terms of when they want stuff. Was there any kind of impact from destocking on the Boeing side that manifested this quarter relative to last quarter? If you could just talk about what you are seeing in that Boeing channel as well. Thank you.
Tony Thene : Yes, will do. Thanks for the question. First on lead times. This is a good news story for us in terms of lead times, specifically for the Aerospace material, which you are referring to. We've actually been able to pull in our lead times slightly, not significantly, but by a couple of weeks. And that's 100% due to the great productivity improvements we've had, primarily on the primary melt operations. So as you know, those higher production rates translate into higher shipments, and that's going to allow us to get critical product to our customers quicker. So that's a good news story. I might take this time to, Gautam, just to kind of give a couple of other points that you might ask about in terms of orders and sales, and maybe this will answer your question. Without getting into too specific figures, we did see orders this quarter be slightly down from what they were the quarter before. Now interestingly, the submarket aero engines, orders were slightly up sequentially. But that is really not a surprise when you think Boeing, for example was on strike from, what was it, mid-September until early November and probably didn't really start producing even at low levels until December. So we knew that impacted the order activity of our customers, especially those that are very tied to Boeing. I think it's also important to note, Gautam, as you know, we also limit our order intake. So if that were not the case, our backlog and certainly, orders could be higher. But it's clear that we have seen some pause from customers that are specifically connected to Boeing.
Gautam Khanna : Okay. That's interesting. And just to follow-up on that. In your point, it sounds like that's outside of the Engine business. So that's more on structural and fasteners. Is that what you are saying?
Tony Thene : Yes, mostly on the structural side. I mean it is always interesting to note what fasteners do quarter-to-quarter. I believe you asked me this question last quarter if I remember right. Fasteners were down sequentially 12%. Our net sales for fasteners are actually up about 2.5% this quarter. So that whipsaws back and forth from quarter-to-quarter. But actually had a little bit of an increase in fastener net sales.
Gautam Khanna : And then naturally, that is going to lead people to wonder about the pricing environment because it has been a supply-constrained environment for a number of years. I'm just curious, have you seen any slack in kind of spot pricing activity? Or has that remained very strong?
Tony Thene : Well, I'm sure in the spot market, if there is somebody out there that has capacity, maybe in some of these alloys that somebody can get some discount, if you will. But that's not long-term, right? I mean you got to remember, you're in an environment where one of your top airframers wasn't making any planes effectively, right? And we are still delivering these type of record profit. So you're going to come very quickly to a point where I think this market comes back really quickly, and you are going to be right back into this really tight demand and a lot of emergency phone calls. I can tell you this, Gautam every discussion we had with customers is always long term. It is long-term focused. It's about surety of supply. And we're just -- we're going to stay focused on that.
Gautam Khanna : Okay, thanks Tony.
Operator: Your next question today will come from Josh Sullivan with Benchmark. Please go ahead.
Josh Sullivan : Hi, good morning.
Tony Thene : Good morning Josh.
Josh Sullivan : What's your perspective on the potential for the tempo of global conflicts to abate? Any indication, poll on defense-related materials is reflecting any customer expectation that things might change either in the near or medium-term? I think you noted Defense was still strong in your comments, but just curious if there is any change in the forward look.
Tony Thene : I don't think so, Josh. I think that is going to stay strong in the coming years regardless of what goes on in the conflicts, and I hope they are resolved as soon as possible. But I think we have a rebuilding of the military to get to a different level. And so I sense that, that will be strong for us over the coming years. That's the feedback that we are getting from people in that space.
Josh Sullivan: And then I know answering Gautam's question there, you talked about the long-term perspective with customers. Obviously, Boeing suppliers are judiciously kind of eyeing the ramp here. But longer-term, there still does seem to be some tightness in the industry. And how is that conversation versus maybe what they're going to need in two years or three years versus what they necessarily need to pull today? And I imagine you're having an investor event here coming up. But a question on capacity longer-term. How are you addressing those? Or what are those conversations like right now?
Tony Thene : Well, there's been no change for us. I mean this isn't something that happened last week. I mean certainly, Boeing has had some challenges now for quite some time. And those companies that are very closely tied to them are looking for some type of push out in those orders. And we are willing to accommodate them as much as we can because we have other optionality, Josh. I mean we've got a backlog that's at $2 billion, half of that is Aerospace. I would say that the majority of that is wanted sooner. So we are able to pull that in and fill. We've had some increases in power gen where we've been able to pull those in. So that broad exposure we have, we've been able to run at very high levels. So this has not impacted us. And now I really believe, I think you could go through the next couple of quarters where we are waiting through the implications of Boeing and what type of progress they're going to make in their build rates. And I think we'll be right back into these daily emergency requests for materials. I think that's going to come sooner than what you think. So from us, we're still running at 100%. There is no plans to change that. And I think that's a really important point to make that there is no weakness from that standpoint. And we are much better now than we were at our last earnings call, Josh, when Boeing was on strike. I mean Boeing is back and looks like to me, making good, credible, sound improvements going forward. So I think we are going to get right back into a big snap up and there's going to be a lot of urgent demand as well.
Josh Sullivan: Thank you.
Operator: Your next question today will come from Scott Deuschle with Deutsche Bank. Please go ahead.
Scott Deuschle : Hey, good morning. Tony, it looks like the price per pound at SAO is up about 29% this quarter. I guess, can you roughly characterize how much of that was just straight price on like-for-like alloys versus how much of that was mix as you presumably tilted more of the capacity to the high-priced engine alloys?
Tony Thene : Tough question, Scott. A good one but a tough one. So I'm going to respectively punt a little bit on saying how much was price and how much was mix because it is a very fluid concept as we are running our production process. I’ll say this. You are 100% correct. We are not a commodity supplier. So I am not trying to maximize tons. I'm trying to maximize profit, right? So we are always looking at how we can make more of the higher valued material. As you all know, almost 100% of the time, the higher price the material, the longer it takes to go through the production process. So that's why you see the difference and say, wow, why aren't volumes going up? Well, because we are not a commodity player, that's why, and we're going to maximize profit. So I mean, you are spot on with the price increases. Certainly, we've seen new contracts come on place that were effective in our Q2, you will see more that will become effective in our Q3. But don't underestimate the impact of us actively manage that mix optimization as well.
Scott Deuschle : Okay. Thank you. And then consensus is projecting about 16% EBIT growth in 2026, Tony, versus the 45% you are guiding to for this year. I'm not trying to get ahead of Investor Day or maybe I am. But I guess, does that type of deceleration in your EBIT growth makes sense to you, particularly Boeing does get to rate 38?
Tony Thene : Well, I'm going to make you wait until February 18, right? I mean, certainly, as you look out over the next couple of years, it might be difficult. The rate of growth that we've had over the last couple of years has been off the charts, right? You've probably not had any companies that you've covered that's had that type of increase, right? So -- but we think there's still a lot more in the tank going forward for us, and we look forward to February 18 to give you more insight there. I would be surprised if you are disappointed.
Scott Deuschle : Okay. And then sorry, last question. And I may have missed this, but it seems like Medical has seen some destocking over the last few quarters. Do you have a sense for when that ends?
Tony Thene : Yes, I think you're always going to be in a constant state of some type of destocking in the medical market, right? I mean there is always going to be some ups and downs. So let me give you a couple of examples for Medical that makes us stay very positive about it. As we talk to those customers, they still feel like they have a very positive demand outlook related to patient surgical rates. And that's where we play, right, in orthopedic and cardiology. So that is positive for us. Also we've seen several of our customers proactively coming to us, asking to shift even more of their business to us. And Scott, what's interesting is not just more of the business that we do but asking us to get involved in products that historically we have not made. And can we get into those types of areas and make it for them. And the last thing I'll say in Medical that gives us a lot of confidence is that next level customer in the supply chain is now working even more closely with us and talking about potential long-term contracts, long-term agreements, and that's a bit of a new development as well and very positive. So I mean, Medical is roughly 15% of our business. You've got Aerospace type margins in some cases, higher. So we remain very confident, very positive in that market.
Scott Deuschle: Thank you.
Operator: [Operator Instructions] And your next question today will come from Andre Madrid with BTIG. Please go ahead.
Andre Madrid : Tony, Tim, John. Thanks for taking the question. I want to start first, given the new administration coming in this month and a lot of talks around tariffs, especially on the material front. I know a lot of what you guys' use is recycled from your own plants. But I mean, if we were to see any pressure, where might it materialize?
Tony Thene : Good question. We -- as always, we're closely monitoring that transition. We believe as always, we're well positioned regardless of the direction that the administration might go. As you said, if you remember, it wasn't too long ago, we had the last tariff regime, and that had little impact on our business. We anticipate the same. And even if there are any types of tariffs, that would be applied in addition to maybe what they were in the past to any of our inputs that correspondingly could increase our cost. We would pass those through to the customer.
Andre Madrid : Yes, that makes a lot of sense. And if I could follow up there. Looking at SAO volumes, in our previous conversations, I know you guys say you are still below pre-COVID levels on SAO volumes. Is there any expectation to get back above that? Or will most of it just be driven on pricing and mix moving forward?
Tony Thene : No, I think you will see increases in volume for sure. When you've got this type of build rate expectation or build rate plan for the Boeings and Airbuses to get to, there will be more volume coming. That is going to be a big player for us over the next several years, as far as that we continue to increase our profitability, volume, price and mix.
Andre Madrid : Got it. Got it. And if I could sneak just one more. And I know you said lead times were coming down in some regard. But last I heard, in some exotics, there is still lead times extending out over 100 weeks. I mean this was a conversation I had probably last month. Is that the case? Or are you seeing those coming down as well?
Tony Thene : Well, it is dependent on the product. When I gave that answer to that question earlier, I was talking mainly on engine materials where you've seen some type of pull-in that we've been able to, maybe not the entire industry, whether that be on engine structural, some of those other Aerospace materials, we are able to pull those in because we are performing so well out in the plant, right? Both our Reading facility and our Latrobe facility doing a very good job on the primary melting rates, and that allows us to make more material and that allows us to push more through. So that was -- that is the driver of why we've been able to pull those in. And not drastically, I mean they're not cut in half. They were at 65-plus weeks, maybe you are in the low 60s now. So -- but two or three weeks is a big deal.
Andre Madrid: Yeah, definitely. Tony, thanks so much for the color. I will leave it that, thanks.
Tony Thene : Thank you.
Operator: And your next question today will come from Bennett Moore with JPMorgan. Please go ahead.
Bennett Moore : Good morning Tony and Tim. Thank you for taking my questions. Based on the order backlog and the growing A&D and Medical mix, is there a level at which you look to cap this? And I guess, given these products require more time on the assets, could we see shipments remain somewhat flat to down this year as was the case last year? I know you're expecting growth in volume longer term but thinking more just this year.
Tony Thene : Well, it is a tough paradigm to break, right, because I know that everybody wants to look at volumes and say, that is the driver of this company, and it's just not, right? I mean some of those products on submarkets like transportation, some of the industrial products, very, very high tons, but low margin. And those are the ones that you see us moving away from if we can use any of the assets within that production process flow for other higher-end materials. So you can see big changes in volume because we've moved away some products and see a corresponding large increase in profit because we've chosen to use parts of those assets in that production process to increase our profitability. We are going to keep doing that because we think that's the reason people buy our shares, it is to increase profitability, not to increase volume.
Bennett Moore : Thank you for that. And if I could turn to energy. I realize the comps were tough sequentially. But could you shed any additional color on the puts and takes? Was the decline entirely IGT driven? And I appreciate it is early, but given all the recent noise around AI potentially being less power-intensive, has this come up at all in customer conversations?
Tony Thene : Yes, good question. It is, energy, especially the power generation submarket inside of energy, is an interesting submarket for us. It's a little confusing because on one hand we'll say, well, it is only 2% or 3% of our total revenue, which is true. But on the other hand, that's an alloy that we like to make, right? That's an alloy that we can pull into our system. We get Aerospace like margins, and we use that at times when for example, when I was talking earlier to a customer that's very dependent on Boeing wants to take a bit of a pause, we are able to move those products in and run them across the same primary mill assets. So we like that product, and we like that business for that point. We have customers inside that business that say, whenever you have a gap in production, just make material for us, we'll take it. I mean so that's the type of demand that we have in that area. Certainly, I got a lot of attention when you heard about AI in these data centers. We couldn't make enough material forum before that. So that was just a whole other level. So I believe over the next several years, this submarket, although small for us will be a very nice market for us and to be able to pick up very nice margins.
Bennett Moore: Thanks Tony. Best of luck.
Tony Thene : Thank you.
Operator: Your next question today will come from Phil Gibbs with KeyBanc Capital Markets. Please go ahead.
Phil Gibbs : Hi, good morning. Congrats on all the progress. Tony, first question is just on the jet engine sales as I typically ask. Any color on what those did specifically either sequentially or year-over-year?
Tony Thene : They -- engines were down sequentially because really the production plan in our second quarter was focused more on some other markets. So we kind of moved things back and forth based on what's going on specifically with Boeing. But as we look to our third quarter, I don't want to start getting into the business of forecasting what sales are going to be by market going forward, but we see a pretty meaningful increase in aero engines going into our third quarter. I can say that.
Phil Gibbs : Okay. Any specificity for the model, just down 5% and down 10% and then relative to Q1?
Tony Thene : Relative to our Q1, they were down. I will get Tim to give you the exact number. I think it was about 10% or 11%. But I think Q1, that was -- I can't remember the exact number, but I think it was about that.
Tim Lain : Phil, exactly down 14%, but up 22%.
Phil Gibbs : Perfect. Thank you so much. And then just on the backlog, Tony. I think you said you had a $2 billion backlog. Is that kind of the approximate number right now? I know it's been running a little over $2.2 billion. So --.
Tony Thene : I think it's about -- to be honest, I think it's $1.9 billion. Remember, even at $1.9 billion, I believe it's like 2.5 times what it was prior to COVID. I've said this -- this is an important point. I mean that backlog is a significant advantage for us because it allows us to pull material in. And that's one of the things, say, I mean how can Carpenter Technology make this type of profit if Boeing is not building planes? Well, there is other people that are building planes. There is other people that are making products. We talked about power gen and we are able to pull that backlog in because the majority of that backlog, two-thirds of it, 3/4 of it are -- is material that's wanted earlier. So we are able to pull that in and manage that. So that's a very strategic source for us.
Phil Gibbs: And then lastly from me on the Defense side. Can you kind of elaborate on what you are seeing there just in terms of the -- maybe the customer conversations, if there is positive benefits from this administration on one hand, but then you have potential de-escalation of war on the other, hopefully. So just we are trying to think about that as we look ahead and curious what you see there.
Tony Thene : Obviously, our conversations on -- with the DoD is something we keep confidential. But I would say, urgent demand. And I don't -- that's not going to change with this administration. I hope all these conflicts are solved. I don't think that urgent demand will change. This is a repositioning of, I think, the U.S. military that -- that that demand is going to stay there. But conversations right now in that area, I would use the word urgent.
Phil Gibbs: Thank you so much.
Operator: That concludes our question-and-answer session. I would like to turn the conference back over to John Huyette, Vice President, Investor Relations, for any closing remarks.
John Huyette: Thank you, operator, and thank you, everyone, for joining us today for our fiscal year 2025 second quarter conference call. Have a great rest of your day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.